Operator: Good morning and welcome to Chico’s FAS Inc.’s First Quarter Sales and Earnings conference call. At this time, all participants are in listen-only mode. Should you need assistance, please signal a conference specialist by pressing the star key followed by zero. A brief question and answer session will follow the formal presentation. It is now my pleasure to introduce your host, Todd Vogensen. Mr. Vogensen, you may begin.
Todd Vogensen: Thanks, Valerie, and good morning everyone. Welcome to the Chico’s FAS First Quarter Earnings conference call and webcast. David Dyer, CEO and Pam Knous, CFO are here with me at our national store support center in Fort Myers. Before Dave begins his executive overview, we would like to remind you that our discussion this morning includes which are subject to and protected by the Safe Harbor statement found in our SEC filings and today’s earnings release. These forward-looking statements are subject to a number of factors and uncertainties that could cause actual results to differ materially. The Company does not undertake to publicly update or revise its forward-looking statements even if experience or future changes make it clear that projected results expressed or implied by such statements will not be realized. And with that, I will turn it over to Dave.
David Dyer: Great. Thanks, Todd, and good morning to everyone and thank you for joining us on our first quarter earnings conference call. This morning we are pleased to share our first quarter results with you and to provide insights into the remainder of 2012, and to further discuss our growth strategies. I’m thrilled to announce that we’re off to a very strong start in 2012 with record results for the first quarter. We performed above expectations across the board, delivering a 23% increase in earnings per share, and the first quarter marked several milestones for us – record earnings of $0.32 a share, record sales of $651 million, record sales in every brand and a record high customer file with double-digit percentage growth over last year. I’m also very proud of the consistency in our results – 12 consecutive quarters of positive comp sales and 13 consecutive quarters of double-digit earnings per share growth. At this point, the numbers speak for themselves – the resurgence of Chico’s FAS is in full swing. The White House Black Market first quarter results reflect the strength of our lifestyle assortment that we just launched in March of last year, with customers raving about both the work kit and the White House casual collections. White House has truly become a destination for beautiful, unique, feminine apparel and accessories. Soma’s focus on becoming America’s new bra destination continues. The Vanishing Back bra, the introduction of an average coverage bra, the Ravishing Push-Up bra and a well-received apparel collection resulted in Soma again having the highest comparable sales performance in the quarter, leading all other of our brands. Boston Proper generated a positive sales performance and positively impacted our earnings in the first quarter. We’re on track with our integration plans, delivering expected synergies for 2012. The Boston Proper system integration activities are ramping up as we approach the summer, and we look forward to the majority of the systems being common by the end of the year. Finally, Chico’s had a great quarter. Everyone has been talking about the trend to color this spring, which you all know plays right into our Chico’s DNA. Our fabulous patterns and colors and our beyond expectations launch of the So Slimming jean allowed us to vigorously anniversary a very strong quarter last year. At least for Chico’s FAS in the first quarter of 2012, the missy customer was certainly back and with one of the industry’s leading comparable sales performances of 9.6%. We continue to grow our market share with her. Turning to our strategies for growth, last quarter I discussed with you the first pillar of our growth, namely organic store growth. Today I’d like to talk about the second pillar, innovative marketing. To continue to grow our business, innovative marketing plans are built around highly definable and desirable target audiences for all of our brands. The creative strategies we deployed to reach our target audiences are critical components to our future success. We’ve presented many initiatives designed to leverage existing and emerging digital opportunities. Ecommerce is an efficient and powerful marketing tool. Ecommerce helps us create top-of-mind brand awareness while maximizing our opportunity to both acquire and retain multi-channel customers. We’re investing extensively in those areas; in fact, just recently we updated our mobile functionality and we’ve put additional resources behind our social marketing efforts. I’d be remiss if I didn’t also mention the quality and productivity of our mailers and catalogs, which are well known for their top-flight photography and crisp fashion-savvy copy. For the foreseeable future, mailers and catalogs will play a key role in customer communications, even as we shift dollars into the digital realm, be it online marketing, page search, or emerging mobile platforms. Today I’m going to focus on another key area of our marketing expertise with you, and that is television advertising, which has been a game-changer for the company. Similar to other marketing initiatives, our objective with television is to grow our customer file, to retain and reinforce loyalty among our existing customers. The difference with television advertising is that we have the ability to reach her now on a national scale. From the television launch of the Chico’s rebranding effort in 2009 to the consistent use of television brand messaging through today, our overall customer files have more than recovered from the sharp fall-off experienced in 2008. We clearly believe that our highly creative, intelligently placed television advertising was a major driver of the recovery and growth. With its national reach, television has also been a significant source of growth for customers outside of our boutique trade areas, as well as fostering growth of our multi-channel customers, the most important customers of all from a sales perspective. A multi-channel customer spends two times more than our boutique customers only, and three times more than our ecommerce customers only. You’ll notice that in every one of our television spots, they sign off by explicitly noting that a product is available both in boutiques and through the web – no small reason that our multi-channel customer count continues its stellar growth. From a creative perspective, our objective with television, as with all of our marketing, is to honor the intelligence and taste of our target audience – no clichés, no gimmicks. Through lively execution, we bring the benefits and style of our products to life – the charm and sassiness of White House Black Market, the sensuality and innovation of Soma, and of course the color and vitality of Chico’s. Now I’d like to get into a bit more detail about how we currently are approaching television for each brand. Last year, knowing that about 50% of our new store growth openings would be White House Black Market boutiques and outlets for the next several years, we looked at television as a vehicle to accelerate our national brand awareness. As such, White House Black Market made its first ever foray into television last fall. As we shared with you at our analyst day, White House Black Market launched a more robust major network prime time television campaign in February, featuring and celebrating our extraordinary work kit assortment. We aired the spots on a variety of network prime time shows, such as The Bachelor, Castle, and Modern Family. The result was immediate and positive – during the five-week airing of the commercial, we received almost 400,000 views on YouTube, again showing how online and offline media are interconnected. The spot created a lot of buzz in fashion blogs, which underscores that White House Black Market has transitioned from an occasion-based dress shop to a fashion boutique with full lifestyle offerings. Therefore, we are confident that the launch of our new boutiques will greatly benefit from this national TV branding effort. Turning now to Soma, we’ve already discussed how television has been a game-changer. Our objective with television is to establish Soma as America’s new bra destination by informing customers of the benefits of Soma’s style right and innovative products, and to motivate new customers to try Soma’s differentiated merchandise. As for the Chico’s brand, I’m sure you’ll agree our campaigns have been consistently catchy, colorful and delightful, right down to the music we use and the talent we feature. For our initial campaign in fall of 2009, we had a casting call of 142 women before selecting the face that came to personify the brand, an actress and model named Magali. Her spots perfectly capture the energetic, playful, personable style that is so uniquely Chico’s. Last fall, we broke fresh ground with a holiday campaign starring Diane Keaton. She was a one-of-a-kind brand ambassador who promoted Chico’s in her national book tour and other public appearances, delighting women of all ages who identify with her intelligence and truly original spirit. This spring, we took a different tack with Chico’s, using television to successfully focus on new products – in this case, So Slimming jeans and spring accessories. In summary, we believe that our focus on brand right, thoughtfully executed television advertising is a key competitive advantage today. In the current economic environment, it would be easy to pull back on a relatively expensive medium like television advertising to save some expense dollars. We view it differently. By appropriately investing in our brands through television to communicate our differentiated compelling fashion and brand personalities, we believe we can drive meaningful market share growth in the future. Pam will now provide additional insights into the quarter and share with you our planning assumptions for the remainder of 2012. I’ll then return with some wrap-up comments before opening our call to questions and answers. Here’s Pam.
Pam Knous: Thanks, Dave, and good morning everyone. I’m very pleased to announce our results for the first quarter of 2012: comparable sales up 9.6%, gross margin dollars up 19%, SG&A leverage up 70 basis points, diluted earnings per share up 23% to a record $0.32, and ending inventories more than beating our inventory planning assumptions for the second quarter in a row. These results underscore the fact that our customers are pleased with the fashion and value we are providing them and demonstrate our ability to manage our business well, exceeding our expectations across the board. The bottom line – in the quarter, we delivered both the highest quarterly sales and earnings per share ever. Now, a few specifics on the quarter – earnings per diluted share were $0.32 compared to $0.26 last year, a 23% increase and our 13th quarter in a row of double-digit earnings per share growth. Net sales were 651 million compared to 537 million last year, an increase of 21%, reflecting comparable sales growth of 9.6%, the opening of 99 net new stores since April 2011, and 34 million in sales from Boston Proper. To put this performance into perspective, this represents a three-year sales compound annual growth rate of 17% and a three-year comparable sales stack of 33%. The first quarter comparable sales increase of 9.6% is on top of 7.7% last year, reflecting improvements in both average dollar sales and transaction count. White House Black Market’s comparable sales were up 11.3% on top of a 7.4% increase last year, and the Chico’s Soma Intimates combined comparable sales were positive 8.8% on top of a 7.8% increase last year. I’m very pleased to say that this performance represents the 12th consecutive quarter of positive comparable sales growth for Chico’s FAS. Our spring merchandise and effective marketing programs clearly resonated with her with this quarter. As a matter of fact, our new customer count also increased by a double-digit percentage and we are at an all-time high for active customers, which is a great sign that we are connecting with existing and new customers and continuing to gain share. Gross margin dollars in the first quarter were 379 million, an increase of 19% over last year and a record for quarterly gross margin dollars. As a percentage of net sales, gross margin decreased 90 basis points from last year’s first quarter to 58.2%. As we indicated on our fourth quarter earnings conference call, this decrease primarily reflects the cycling of 2011’s four-year record high gross margin rate, a more promotional environment, and the inclusion of Boston Proper’s results. Of note, with our compelling product offering, we were able to improve our full price selling above what we had anticipated when we gave our planning assumptions in February. Kudos to our brand teams on delivering these great results. Selling, general and administrative expenses as a percent of sales improved by 70 basis points to 44.8% from last year’s 45.5%, reflecting leverage on store expenses from our comparable sales increase and the inclusion of Boston Proper, partially offset by higher marketing expenses including White House Black Market’s first spring television campaign and increased performance-based incentive compensation as a result of our strong first quarter performance. This marks the 13th straight quarter of SG&A leverage for Chico’s FAS. Also to provide more color on SG&A, marketing expenses as a percent of sales excluding Boston Proper were up 30 basis points compared to last year, and Boston Proper’s marketing expenses were approximately 11 million. The Soma brand continued its strong ramp-up this quarter, generating it’s eighth consecutive quarter of double-digit comparable sales growth. Soma also achieved record first quarter gross margin and SG&A rates. As a result, for the first time Soma was cash flow positive in the first quarter as well as four-walls profitable. To wrap up my comments on our operating performance, we generated strong top line growth and one of the industry’s leading operating margins at 13.4%, excluding one-time integration costs. We are pleased to have maintained our mid-teens performance in this more promotional environment. We believe these results position us well for our long-term goal of full-year mid-teens operating margins. As a reminder, the major drivers to achieving the full-year mid-teens goals are increases in comparable sales, opening new stores with smaller footprints and in smaller markets, increases in the penetration of brand online sales, investments in productive capital projects, and leveraging our shared services infrastructure. Turning to the balance sheet, I am particularly pleased to announce our strong inventory results in the first quarter. Excluding 14 million in Boston Proper inventories, our ending inventories were up less than 1%. We also ended the first quarter with in-store inventories per square foot down 7% to last year. Cash and marketable securities were 341 million at the end of the first quarter compared to 248 million at the end of 2011. The first quarter increase reflects earnings and improved working capital, including higher accounts payable leverage, partially offset by 41 million in capital expenditures primarily for new stores and distribution automation, and 9 million in dividend payments which represents an increase of 5% per share compared to last year’s first quarter dividend. As of today, we have 175 million available under our current share repurchase program which represents over 7% of our current market capitalization. Now I am pleased to update our full-year planning assumptions for 2012, which as you know is a 53-week year. While we are updating our planning assumptions for our above expectations first quarter results, we believe it makes sense at this point to maintain our existing view of the remainder of 2012 given that we are only one quarter into this fiscal year. All of our assumptions include the ongoing operational impact of Boston Proper. Our planning assumptions for 2012 are: total sales approximately 2.5 to 2.6 billion, reflecting a mid to high-teens percentage increase, including comparable sales growth at a mid-single digit percent, approximately 9% growth in year-over-year square footage, and approximately 30 million in sales from the 53rd week. Gross margin rate down approximately 50 basis points, reflecting our expectation of an ongoing promotional environment, an uncertain outlook for the economy, and the inclusion of Boston Proper. Inventories in line with sales growth for the full year, ending up approximately 15% to last year. SG&A down approximately 25 to 75 basis points, reflecting leverage on store expenses from comparable sales increases and the inclusion of Boston Proper. Tax rate approximately 38% with modest improvement if certain tax incentives are renewed for 2012. Weighted average diluted shares approximately 166 million excluding any impact of share repurchases; and finally, capital expenditures approximately 150 million, which includes 120 to 130 gross new stores. Our planning assumptions, however, exclude any non-recurring acquisition and integration costs for Boston Proper, which we expect will not be material in 2012. To provide some color on the second quarter, recall that we are cycling a strong performance last year, which included our highest comparable sales growth in 2011 of 12.8%, gross margin leverage of 40 basis points, and SG&A leverage of 190 basis points. For 2012, our second quarter sales growth, gross margin rate, and expense leverage should be directionally consistent with our full-year planning assumptions. As our first quarter results clearly demonstrate, we experienced a strong response to our spring merchandise. We are now successfully transitioning into our summer collections, which include the following highlights: White House Black Market started its summer collections with splashes of color in espresso and sunset orange, with cobalt blue setting in stores this week. Our unique balanced assortment appeals to all her lifestyle needs with increasing emphasis on polished casual as we progress into the warmer months of summer. Soma continues to become America’s new bra destination with the expansion of our Multi-Way Strapless bra. Soma will also focus on bright, fun colors for Multi-Way summer dresses that go perfectly with our Multi-Way bras. Boston Proper highlights for second quarter include easy knit dressing perfect at home and away, with special pieces to dress up summer; and Chico’s demonstrates a passion for prints and color with vibrant stripes, paisleys, polka dots, and animal patterns all designed to be outfitted with So Slimming jeans and colored bottoms and beautifully paired with our amazing accessories. And of course, we are deploying customer-centric marketing that drives brand awareness and new customers across all brands. So to conclude my comments, we believe we are well positioned for the balance of 2012 and beyond. We believe this because we have four great brands, each at different stages of their development contributing towards sustained long-term sales and profitable growth for our company. With that, I turn it back to Dave for his wrap-up comments.
David Dyer: Great, thank you Pam. First quarter was truly a great quarter for our entire company and we’re excited about our record sales and earnings. I’m pleased that I had a chance to share more specifics on our innovative marketing and advertising, which is the second pillar of growth for Chico’s FAS. I am also very pleased to say that we have truly built the use of television into a dynamic and effective core competency for the company, an important component of our marketing toolkit that we can further use to differentiate the compelling brands of Chico’s FAS. So along with our other three pillars for growth – organic store growth, expense leverage, and maximizing our brands’ potential –we are well positioned for growth as we look to the future. Now to wrap up – we’re in the third week of the second quarter and I can share with you that as reflected again on our unaudited daily flash sales through yesterday, our total comp sales are running up about 6.1% on top of last year’s quarter-to-date comps of 9%. This is incorporated in our planning assumptions. All brands are positive so far for the quarter, and total quarter-to-date sales including Boston Proper, again unaudited through yesterday, are up approximately 16%. This reflects a strong start to the second quarter, and I believe that we are on track of a great 2012. I will now turn it back to Todd.
Todd Vogensen: All right, thank you Dave. That concludes our prepared comments. Before we move into questions, we have two quick calendar items. First, Chico’s FAS will participate in the Janney Consumer Conference in Boston on Monday, May 21; and second, we will participate in the Citi 2012 Global Consumer Conference in New York on May 22. At this time, we are happy to take questions and I’ll turn the call back over to Valerie.
Operator: Thank you. We will now begin the question and answer session. To ask a question, you may press star then one on your touchtone phone. If you are using a speakerphone, please pick up your handset before pressing the keys. To withdraw your question, please press star then two. At this time, we will pause momentarily to assemble our roster. The first question comes from Simeon Siegel of JP Morgan.
Simeon Siegel – JP Morgan: Great, thanks. So it looks like you largely kept your top line estimates in line with the initial projections, but now looking for the high teens top line growth rate. So—and you guys include DTC in comp, so I was just wondering if you could maybe speak to where that delta is coming from with the 2.5 now to the 2.6 billion? Then just maybe more color on the inventory would be great – I mean, you guys clearly finished that pretty strongly with the inventory up 7.5% and Pam, as you said, with the 680 basis points there relatively due to Boston Proper. So any color there – did you see pressure coming better than expected, just improved turns? Anything around there would be helpful. And then just quickly, can you guys let us know the right way to think about the net income related to the restricted stock for the rest of the year? Thanks.
Pamela Knous: Great, okay. From a top line perspective, clearly our above expectation results in the first quarter are part of the increase in the top line for the year, as well as our new stores, as Dave commented, are performing above expectations, so those are some of the major increases in the top line. As far as the inventory, yes, we’re very pleased with our performance for inventory. You might recall that last year we were up 24% at this time, so we believe that on a two-year stack our inventories are in very good position. We had great turns in the quarter and we expect our inventory to be very productive as we go into the back half of the year. As far as net income and thinking about that for the earnings per share calculation, we did include a schedule in the press release that actually shows you the impact for the first quarter, and I think it would be fairly safe to think about annualizing that as you look to the rest of the year.
Simeon Siegel – JP Morgan: Okay, great. Thanks. Good luck.
Operator: The next question comes from Adrienne Tennant of Janney Capital Markets.
Adrienne Tennant – Janney Capital Markets: Good morning everyone and congratulations. Great start to the year. Dave, my first question is can you talk about the quality of the quarter – any changes at the end of the quarter as we had seen from the rest of the sector? There may have been the shift toward the end of April. I’m just wondering how that is generally speaking for the missy sector, given that you actually had another catalyst going into May, which was obviously Mother’s Day, so if you can talk a little bit to that. And then for Pam, several just sort of housekeeping questions – it looks like your store opening count is going from gross of 135 to 120 to 130. I’m wondering where the delta there is? I’m also wondering if you can sort of talk about – and this may be Dave or Pam – but if you can talk about structurally four of the past five years, you’ve typically had a very, very strong spring season for various reasons not translated into a strong back half. I’m wondering if there’s something structural there, or historically what we’ve seen is sort of not much seasonality across the quarters, so could there be a recovery to sort of a more non-seasonal quarterly pattern. Does that make sense?
David Dyer: It does, and let me start there. First, I would like to say I love spring! 
Adrienne Tennant – Janney Capital Markets: Oh, great! Good.
David Dyer: Spring has always been our time, and I would say that we have done very well in the fall season with the White House brand and with the Soma brand. I think that we have had for the last couple of season in Chico’s, we have not done as well as we would have liked for the third quarter. Again, we have gone back, we have worked hard. Simi (ph) and her team have done, I think, a marvelous job, and as I look at what we have done this year for fall when it comes back to print and pattern and color and wear now-ability as we enter the third quarter, I think that we have turned the corner; but I guess time will tell. You know, obviously sitting in Florida, maybe that is something that is a little structural as you go into the cold weather, but I think that our expertise in warm weather certainly played into our hands with a very warm winter this year. It was very helpful. As far as the first quarter trends, we actually had good positive results throughout the entire quarter. April was—you know, we followed some of the trends that the market would have as a whole, but I think April was probably a little stronger for us than it was in the marketplace. Mother’s Day last year was the first week of May; this year it was the second week of May, so obviously for the market we’re up against some Mother’s Day business in the first quarter which was not done last year, so when we anniversaried these first two weeks of May, we feel very good about where we are starting the second quarter as well. So we’ve been nice and strong throughout.
Pamela Knous: And just to quickly comment on the store opening cadence, it’s a function a little bit of the real estate calendar but also the fact that we have the opportunity to do more conversions than we had originally anticipated.
Todd Vogensen: Yeah, for the Soma brand converting the pop-up stores into full-line stores.
Adrienne Tennant – Janney Capital Markets: Okay, great. And then just on Soma, it sounds like it’s cash flow and four-wall profitable—cash flow positive and four-wall profitable. The four-wall profitability certainly seems to be better than expectations, if I can assume that. Should we now expect that to be the case for the full year? Thank you.
Pamela Knous: We’re not commenting specifically on any given brand.
David Dyer: But we are pleased with our progress.
Adrienne Tennant – Janney Capital Markets: No, it’s great. Okay, thank you so much and best of luck. I’ll see you soon.
Operator: The next question comes from Dana Telsey of Telsey Advisory Group.
Dana Telsey – Telsey Advisory Group: Good morning everyone and congratulations. Television advertising certainly seems like a big driver and a benefit. What you do estimate it contributed, and how do you see the pace of TV advertising for the balance of the year, cost versus sales benefit? And then also as you think about the gross margin for the different businesses, was there a difference in gross margin and just how inventory levels and full price versus markdown selling reached in Q1? Thank you.
David Dyer: Well, first in the words of John Wannamaker, half of my advertising is wasted – I just don’t know which half. So I think that when you come down, the old goal of measuring advertising, television – while I guess you could say that when we have run strong television, the sales have performed. But I would say that probably a better measure has been the growth of our file and the attraction of new customers. We have literally turned around our file growth and have attracted new customers to a greater degree than this brand ever has, and especially in something like the White House Black Market brand where we’re really growing. So we believe that television has had a major role in the quality of our file, growing that customer file, attracting our existing customers back to the store to purchase again, and think that again has been a major driver. To actually measure the effectiveness, other than that, I don’t think there is much to say except our 9.6% comp, which is pretty much industry-leading, may speak for itself.
Pamela Knous: And then, Dana, we don’t comment separately on gross margin by brand. You may recall that we did comment that in the first quarter, we were cycling record gross margins for all brands, and so maybe that will help you get a little perspective.
Dana Telsey – Telsey Advisory Group: Definitely. And any color on the new stores which seem to be doing better than expected? Is it locations, or what are you seeing?
David Dyer: I think it’s the locations that we’ve done and the way that we are planning and locating stores. Our real estate department has done a fantastic job of identifying new markets for us that have huge potential, and I should say that our small and mid-market strategy that we have talked about has exceeded our expectations. Store are opening well above pro forma, so we’re keeping at it and I think, again, our new store openings, to have all the television advertising in the marketplace has actually helped these new store openings too.
Dana Telsey – Telsey Advisory Group: Terrific. Thank you very much. Congratulations.
Operator: The next question comes from Travis Williams of Stephens.
Travis Williams – Stephens: Hey guys, thanks for taking my question and congrats on a great quarter. I was wondering—I may have missed this, but if you could tell us what the Boston Proper business year-over-year growth looked like, and then also if you could remind us just generally speaking what the seasonality of that business looks like. And then on the Soma business, you mentioned a lot of the conversion this year from pop-up to permanent. I wonder if you might comment on what type of increase in rents you would typically see there from a high level. And then my last question is you noted in your opening comments about opening smaller footprint stores as one of the drivers to success this year and towards your guidance. I wonder if you might just comment on what that looks like in terms of the stores you’re opening versus the average store.
David Dyer: Well, if you would have gone back and looked at our stores back in 2006 to 2008, you would find that we were opening quite a few 4,000 to 6,000 square foot stores. We open no 6,000 square foot stores now, and our average store for Chico’s is 104,000 feet, somewhere in the 3,000 to 3,500 square foot, our gross square footage that we look for, and White House we’re probably closer to 3,000, 3,200; and in Soma, we are looking at somewhere under 2,500. I believe that smaller stores support our boutique position. When you have a smaller, intimate store, it is much easier to merchandise, and I think also it is easier to cover. It is more efficient to run, and it is more productive on the dollars per square foot. Also, we have a terrific DTC business, and one of the things that our DTC business has allowed us to do is to locate merchandise that may not be available in those stores. We are able to actually ring the sale in the store and credit the store for the sale and then ship it from our distribution center, so that has been another way that we get increased productivity from a smaller square footage.
Travis Williams – Stephens: That’s very helpful. Thanks.
Todd Vogensen: Okay, and in terms of Boston Proper, Q1 sales were definitely in line with what we were planning, and we’re still on track for our full-year planning assumptions, which is to grow at a low double-digit rate. In terms of the seasonality, by now you have half of Q3, Q4 and Q1, so you can probably see how it is playing out across the quarters.
David Dyer: Although Boston Proper, I would say, does follow more similar to our other brands, which is stronger first half of the year than second half of the year.
Travis Williams – Stephens: Okay, great. And then the change from pop-up to permanent on the Soma locations?
Pamela Knous: From a rent perspective – is that your question, Travis?
Travis Williams – Stephens: Yeah, just kind of—I’ve had a lot of questions about what that might look like in terms of the increase—
David Dyer: Well from a rent perspective, actually we have been able to work with the landlords to maintain a lot of the rents that we have; and where they have increased, obviously we believe that the productivity and the volume that those stores are going to generate will cover that rent increase. I think that we’ve done a really good job at getting the right locations at the right price for the Soma brand – again, another kudos to our real estate team.
Travis Williams – Stephens: Great, thanks guys. Best of luck.
Operator: The next question comes from Richard Jaffe of Stifel Nicolaus.
Richard Jaffe – Stifel Nicolaus: Thanks very much guys. Just a quick question on product costs in the second half and some of the initiatives you put in place last year regarding changes in sourcing. I’m wondering how that’s going to play out in terms of initial merchandise margins, both for second half and then longer term as well.
David Dyer: Well, one of the nice things that’s happening with product costs is that the commodities – cotton, I think recently was done to $0.80 a pound, which the lowest we’ve seen it in several years. Rayon, polyester are also at lows, so we really haven’t seen it in commodity costs. And actually, the lower commodity costs in the piece goods have offset some of the increased labor costs that we may be seeing in some of the countries. We still, as we have said, are working to move to more favorable production and move out of China to lessen our dependence on China from—I guess we were up closer to almost 70% not too many years ago, and we’re trying to move it down to around 50% where we feel it’s about the right level for us to be there.
Richard Jaffe – Stifel Nicolaus: And just one more question – the change in ad spend year-over-year for the second half with the anticipated increase in TV presence—
Pamela Knous: I’m sorry, we’re not disclosing that.
Richard Jaffe – Stifel Nicolaus: Okay. Should we assume more this year than last year?
Pamela Knous: We’re not giving any specific guidance on it separate from our SG&A guidance.
David Dyer: Nice try – no cigar.
Richard Jaffe – Stifel Nicolaus: Thank you very much.
Operator: The next question comes from Margaret Whitfield of Sterne Agee.
Margaret Whitfield – Sterne Agee: Good morning, and I’ll add my congratulations. You’d mentioned several times the promotional environment. I’m wondering if you’re seeing this specifically at the Chico’s brand or it is throughout the brand structure, Soma as well as White House. That’s my first question. And Dave, I wonder if you had any update for us on your thoughts on the international aspect for Chico’s?
David Dyer: Well, a couple of things. First on the promotional – yeah, we’re seeing it across all of our brands and throughout the marketplace. I can say because of the strength of our product line, we have been able to actually reduce promotions and concentrate on full-price sales in virtually all of our brands. I will tell you that Chico’s problem from last third quarter certainly is behind us. As a matter of fact, when we look at our clearance units on hand this year versus last year, we are down this year in clearance units so our inventory is about as clean as it has been. We do not need to aggressively promote to get our business. I think that really if you have the right product and presented in the right way with terrific service, we can win. Does that mean that we won’t participate in events? No, we’ll still promote; but I don’t think you’re going to see us do wholesale promotions that really give away margin for no reason. We want profitable sales growth.
Margaret Whitfield – Sterne Agee: And also the fall assortment, can you give us some color on what changes we’d be seeing at Chico’s brand to hopefully help your business?
David Dyer: Well, let’s try color. I’ll give you color on color. You’ll see a lot of color, you’ll see a lot of print, you’ll see a lot of pattern, you’ll see the right weights; and I believe that when you look at it, last year we were very monotone – beige – and it really wasn’t the excitement that we normally have in our assortments. While it was beautiful and sophisticated, the customers in August and September, when it’s still very hot, are looking for the right fashion and wear-now products, and that’s what we’re doing. I think you’ll see a big difference as we move into the third quarter this year.
Margaret Whitfield – Sterne Agee: And international?
David Dyer: What’s that?
Margaret Whitfield – Sterne Agee: International – any thoughts?
David Dyer: International, as I said before, we have hired a vice president of international. We’re busy taking a look and analyzing and assessing global markets, and I do believe in 2013 that we’ll probably stick our toe in the water somewhere. But we still have a lot of work to do and it will not be any meaningful part of our business certainly in the near term. I mean, we are looking at that as—you know, we’ve got so much growth in this company for the next three or four years, we really don’t need to go outside the country for growth like many brands do. We want to be prepared, though, as we get into 2015, ’16, ’17, ’18 to have another growth vehicle coming behind Boston Proper. So we’re continuing to look long-term for our continued growth.
Margaret Whitfield – Sterne Agee: Thank you and best of luck for the rest of the year.
Operator: The next question comes from Edward Yruma of Keybanc.
Edward Yruma – Keybanc: Hi, thanks for taking my question. Your inventory performance during the quarter was very strong, particularly in light of Boston Proper. Do you think you left any sales on the table, given the really tight inventories? And I guess you’ve guided for inventories to be in line with sales growth going forward. Is there an opportunity for you to chase inventory if sales growth continues to remain strong? Thanks.
David Dyer: Overall I think we were very happy with our inventories. If there’s any place where I think that our inventory probably could have been beefed up a little bit, it would have been in White House Black Market. A lot of our inventory was in some of our more seasonal basics, like the work kit, and I think as a result we may have starved a little bit of fashion inventory. But you know, inventory is—I always talk about it as like produce. It does not get better with age. When you think about it as tomatoes that are sitting out there, you want to sell it; so the fact that we turn a little faster and maybe we leave a little bit on the table, I think is okay in a fashion business.
Edward Yruma – Keybanc: Great, thank you.
Operator: The next question comes from Paul Zhu (ph) of Nomura.
Tracy Kogan – Nomura: Thanks, it’s Tracy Kogan filling in for Paul. A couple questions – I was wondering if you guys could talk about the performance of your outlet businesses this quarter, and maybe also talk a little bit about the customer in the outlet business and how that compares to the customer at your full-line stores. And then where are we on the made-for-outlet product at White House? I also have one other follow-up. Thanks.
David Dyer: Well, our outlet business has been strong and our outlet business, as you know, is very profitable in the Chico’s brand and actually has gone from clearing excess clearance merchandise at a loss in White House to a profit in White House outlet merchandise. That’s largely due to the made-for-outlet product that they have introduced in the assortment. I believe this year’s goal is to get it up to around 65% of our assortment for White House. It’s about 90% for Chico’s. We always want to have some sort of pressure relief valve for the front-line stores, that we could use outlets where necessary where we have bigger lumps to clear. But I think that our heads of outlets – Lori in Chico’s and George in White House – have done a very good job of getting that balance of made-for-outlet and clearance products. Again, one of our big store growth initiatives is in outlets. I believe we’re opening 20 White House stores this year and somewhere around the same number in Chico’s of outlet stores. Certainly in those two brands, we believe that we can have between 100 and 150 stores. Chico’s has 87 right now and they will grow to over 100, so we still see lots of growth there; and White House is just getting started. I think they have, what, 37 outlets now, adding 20, something like that. I may be off by a few stores here or there, but we’ll see a lot of growth in them over the years.
Tracy Kogan – Nomura: How about the customer there? How much overlap is there, if any, with your core customer?
David Dyer: You know, we don’t see as much overlap as probably one would think. I think you can look just down here at Miramar in our southwest Florida. Miramar is one of the biggest outlets in the country, and we do very, very well there; but we also, when you take a look from Naples to Fort Myers, we have three or four top 100 stores that are doing just as well on front line. You know, a lot of the outlets traditionally were opened away from the main brands. I think that has changed with some of the new outlet malls that are opening, but we’re very selective and we want to make sure that outlets will not overly cannibalize a front-line store, and I think we’ve managed that pretty well.
Tracy Kogan – Nomura: Great, thanks. And just one follow-up on ecommerce fulfillment – you mentioned fulfilling from ecomm when something is out in a store. I was wondering if you have the capability yet to fulfill from the stores when something is sold out on your website.
David Dyer: Actually we are absolutely working on that. That would be kind of the reverse locating in a store, and that is something that we will be doing coming up; but right now, we are not doing that. We do think that’s an opportunity. We’re really locating to the warehouse from the stores.
Tracy Kogan – Nomura: Great, thanks. Good luck guys.
Operator: And the next question comes from Jennifer Black of Jennifer Black & Associates. 
Jennifer Black – Jennifer Black & Associates: Good morning, and let me add my congratulations. I have a couple questions – I wondered first of all how many different denim and non-denim pant styles will you be incorporating the So Slimming technology for fall, and then I wondered if you would be incorporating the technology into skirts? That’s my first question.
David Dyer: There are several new styles in So Slimming that are not jeans. I think we have it in our getaway, and I believe that there is at least one other style that we will have the So Slimming technology in. We do think that it translates into bottoms other than denim; however, we have to catch up with our denim demand right now. It’s been absolutely fabulous, but I think as you see our catalogs going forward in July and August, you will see additional selection that has the So Slimming technology. I haven’t seen – that doesn’t mean that there’s not one – a prototype in skirts yet. They may be working on it, but I can’t remember seeing one as I’ve reviewed the assortments. So I don’t know what else to say there. What other question did you have, Jennifer?
Jennifer Black – Jennifer Black & Associates: I wondered at White House if you were thinking to layer on any new categories – for example, like athletic-inspired? Just anything there – petites? Do you have anything else that you would add? I mean, it’s been doing so well.
Todd Vogensen: Jennifer, if I can interject – we really try not to talk about what our future plans are for our merchandise just from a competitive perspective. We know that all our competitors are listening along with you, so as regards the future we try to keep confidential.
Jennifer Black – Jennifer Black & Associates: Okay. And then lastly, I wondered how Black Label did at Chico’s?
David Dyer: It did very well, thank you, and we are continuing it. We think that it will continue to be an important part of our assortment for our top stores.
Jennifer Black – Jennifer Black & Associates: Great. Thanks. Your stores look great. Thank you, good luck.
David Dyer: Thank you.
Operator: And our last question is from Anna Andreeva of FBR Capital Markets.
Tom – FBR Capital Markets: Thanks, this is Tom in for Anna this morning. Can you give us any additional color on the quarter-to-date trends by brand? Thanks.
Pamela Knous: No, we don’t give comment by brand.
Tom – FBR Capital Markets: Any more information directionally, maybe? Anything at all?
Pamela Knous: No. I mean, we feel good that we gave you the results for the—
David Dyer: All of them had positive comps.
Pamela Knous: All of them were positive.
David Dyer: So what else can I say? You’ve got a 9.6% total comp, so all of them had pretty good results.
Tom – FBR Capital Markets: All right, great. Thank you.
Todd Vogensen: Okay, so that is going to conclude our call for this morning. We apologize for those questions that we were not able to get to in the hour or so that we were on the call. As always, I’m available for any follow-ups after the call. Thanks for joining us this morning, and we appreciate your continuing interest in Chico’s FAS.